Operator: Good day ladies and gentlemen. And welcome to the Superior Plus 2017 First Quarter Results Conference Call. At this time, all participants are in a listen-only-mode. Later, we will conduct a Question-and-Answer Session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Luc Desjardins, President and CEO of Superior Plus. Sir, you may begin.
Luc Desjardins: Thank you James, and good morning everyone. Welcome to Superior Plus conference call and webcast to review our 2017 first quarter results. I'm Luc Desjardins, President and CEO. Joining me today is Beth Summers, Senior Vice President, CFO, Darren Hribar, Senior Vice President, Chief Legal Officer, and Rob Dorran, Vice President, IR and Treasurer. For this morning call, Beth will start by providing a high level review of our financial results for the first quarter and an update on our financial outlook for the year. And then I will close with an update on our strategic initiative and outlook for the business for the remainder of the year. I'm very pleased to report Superior has achieved 20% increase in adjusted EBITDA and the 24% increase in AOCF per share in the first quarter compared to the quarter 1, 2016. The strong results despite the warm weather experience in the Northeast USA and Central Canada demonstrates the strengths of our diversified business model and the success of Destination 2015 initiative. So now, I'll turn the call over to Beth.
Beth Summers: Thank you Luc and good morning everyone. Before I begin, I would like to remind you that some of the comments made today maybe forward-looking in nature and are based on Superior's current expectations, estimates, judgments, projections and rent. Further, some of the information provided referred non-GAAP measures. Please refer to the first quarter MD&A for further details on forward-looking information and non-GAAP measures. I would also like to encourage listeners to review the management discussion and analysis posted on SEDAR and on our website yesterday, which includes the financial information for the first quarter as we won't go over each financial metric on today's call. This will allow us to move more quickly into the Question-and-Answer period. Overall, as Luc had mentioned before, we are pleased with the first quarter results. Consolidated adjusted operating cash flow or AOCF per share before transaction and other costs was $0.77 per share per share which was 24% higher than the prior year quarter, due to a decrease in realized foreign currency hedging losses and increase in EBITDA from operations and lower interest expense. For the 2017 financial outlook, we are updating our AOCF per share guidance release, following Q4, 2016 to $1.50 to $1.75 per share. Our guidance has been updated to reflect the anticipated contribution from Canwest and to incorporate the warmer weather in Q1 and year-to-date result. Please note, the 2017 financial outlook excludes the impact of any estimated synergies from the Canwest transaction due to the anticipated closing in the second half of 2017. On the debt management side, at March 31, 2017, the total debt to adjusted EBITDA leverage ratio was 3.3 times, which is above our long-term target of 3 times. For December 31, 2017, we anticipate debt to adjusted to EBITDA to be in the range of 3.2 times to 3.6 times. Turning now to the individual business results. Energy Distribution EBITDA from operations for the first quarter was $86.1 million compared to $86.8 million in the prior-year quarter, a modest decrease due to lower gross profit, partially offset by lower operating expenses. Average weather for the U.S. Northeast was 1% warmer than the prior year and the 11% warmer than the five year average. Due to the higher proportion of residential sales volumes in USRF, warmer weather has a significant impact on USRF results. Average weather for Canada as measured by degree days, with 6% colder than the prior year quarter and 2% warmer than the five year average. In Ontario and Québec, where the majority of residential customers are located, weather was on average 7% warmer than the five year average. Gross profit decreased $2.6 million, primarily driven by the negative impact of foreign exchange on the translation of U.S. denominated result for USRF, partially offset by the increase in volume in the Canadian propane distribution. Cash operating and administrative costs were $85.7 million in the first quarter, a decrease of $1.9 million compared to the prior-year quarter. Operating expenses in the first quarter were lower primarily due to the impact of the weaker U.S. dollar on the translation of U.S. denominated expenses and the benefit from restructuring activities undertaken in Q4 2016. Consistent with our disclosure after Q4 2016, Superior Energy Distribution EBITDA from operations for 2017 is anticipated to be consistent to modestly higher than 2016. Turning now to Specialty Chemicals. EBITDA from operations for the first quarter was $32.9 million, an increase of $5.6 million compared to the prior-year quarter. Sodium chlorate gross profits were modestly lower due to a slight decrease in sales prices and volume. Sodium chlorate sales volumes were 2% lower, due primarily to a decrease in volumes associated with the Tronox agreement. Chloralkali gross profits were higher than the prior year quarter, primarily due to an increase in sales volume and cost net back, partially offset by a decrease in net back for hydrochloric acid and caustic potash. Hydrochloric acid sales volume were higher in the first quarter compared to Q1 2016 due to increased demand and we anticipate improvement in the hydrochloric acid market in 2017. Operating expenses were $34.4 million for the first quarter, a decrease of $1.6 million due to lower distribution costs. As we look to 2017, Specialty Chemicals EBITDA from operations is anticipated to be consistent with 2016. Lastly, corporate results. Income from the Canwest transaction was $6.2 million for the first quarter, following the purchase of the auction on March 1, 2017. Corporate costs were $2.1 million higher than the prior quarter, primarily due to higher long-term incentive plan cost related to the increases in Superior share price compared to the prior-year quarter. Realized losses on foreign currency hedging contracts were $10.7 million lower than the prior-year quarter. This is due to the settlement of hedges during Q3, 2016, following the sale of our Construction Products Distribution business. Interest expense was $1.6 million lower than the prior-year quarter on reduced indebtedness as the Construction Products Distribution business proceeds were used to repay the credit facility and redeem the $150 million convertible debentures due in 2018. The lower interest expense was partially offset by interest cost related to the issuance of the notes on February 27, 2017, for $250 million at 5.25%. With that, I'll turn the call over to Luc to provide an update on our acquisitions and outlook for the remainder of 2017.
Luc Desjardins: Thank you, Beth. I would like to first provide an update regarding our strategic initiatives before providing more detail on our updated outlook for 2017, which incorporates the impact of Canwest. As you would have noted in our release yesterday, we are excited to announce that on April 20, we announced acquiring Pomerleau Propane Gas, a small propane distribution service residential and commercial customer in the Southeast of Québec. This tuck-in acquisition complements Superior’s existing operation in Québec and is consistent with our Evolution 2020 strategy to grow the Energy Distribution business through tuck-in acquisition of propane company to leverage our solid operating platform and achieve operational cost efficiency in Canada and in the USA. Turning to the Canwest transaction. We continue to work through the regulatory approval process, and anticipate closing in the second half of 2017 with the bureau. We have a dedicated team focused on integration and they are working on the planning and strategy to deliver on their personnel cost efficiency. Turning now to the individual business unit outlooks. For Energy Distribution EBITDA from operations for 2017 is anticipate to be consistent or modestly higher than the 2016. EBITDA from Canadian propane in U.S. refined fuel business should benefit from ongoing operational improvement and sales and marketing initiatives. Gross profit in Canadian propane business is anticipated to be consistent with 2016, as increase in volume anticipated to be offset by lower average margin. Gross profit in the U.S. refined fuel business are anticipated to be modestly higher than 2016 due to increased volume and partially offset by the warmer weather experienced in the early part of the first quarter of 2017. Cash operating costs are anticipated to be consistent with 2016, as higher volume related expenses are expected to be offset by continuous improvement initiatives. Average weather, as a measure by degree day for the remainder of 2017 is anticipated to be consistent with the five year average period. For Specialty Chemicals, EBITDA from operations for 2017 is anticipated to be consistent with the 2016. Sodium chlorate EBITDA is anticipated to be modestly lower as improvement in pricing are expected be offset by a modest decrease in sales volume and increased production cost related to the expected electricity and mills rates, especially in Western Canada. Chloralkali adjusted EBITDA is anticipated to be modestly higher than 2016 due to the increased volume, and hopefully after the volume comes in, increased price will follow. So looking good and even better for 2018. Our updated outlook also incorporates 10 months of contribution from Canwest. To wrap up the call, I would like to highlight the work we have done in 2017, and now it is aligned to our Evolution 2020 mandate, we presented at our Investor Day in November. The Canwest transaction is aligned with our strategy and highly complementary to our existing energy distribution platform. The business is well positioned for all selectivity recovery and improved demand in Western Canada. We anticipate a strong pro forma balance sheet and credit profile with ample liquidity and an attractive deleveraging profile within the 12 months after closing the transaction. As you all remember, there is at least $20 million of synergy on the deal. The acquisition is anticipated to generate double-digit accretion after 24 months of closing the transaction. We have also added more M&A resource to Energy Distribution business to assist with identifying and executing on propane acquisition in the USA as well as in Canada. As I mentioned to our AGM yesterday, after the sale of CPD, a significant reduction in debt, we were in a position to evaluate many opportunities for growth. We demonstrated this quarter that we continue to be opportunistic and activity for M&A platform. The Canwest transaction was a unique opportunity to our core business offering significant potential for growth and synergies, leading to anticipated double-digit accretion. These deals are evidence on how we are already progressing and our Evolution 2020 goal to achieve $50 million to $150 million more EBITDA from operations by 2020. With that, I would like to turn the call to question-and-answer period.
Operator: Thank you. [Operator Instructions] Our first question comes from Nelson Ng with RBC Capital Markets. Your question please.
Nelson Ng: A quick question on the Chloralkali side. In terms of the pickup in volumes, do you expect to see similar levels for the rest of the year or could there be some volatility based on like the oil and gas activity levels and other factors?
Luc Desjardins: I think volume will continue to be there. And the way we have look at this part of the segment of the Chemical business is, as volume increase and as demand and supply is more imbalance, more demand in the oilfield, which helps all the other segments as well to rebalance of demand and supply, we are in a position where we see volume coming, and I think right after that hopefully before the end of the year, there will be price increase and certainly for 2018 volume and price will be in effect.
Nelson Ng: So just on the price increases, so like on the caustic soda side like we heard about suppliers elsewhere of implementing and getting price increases through. Like have you been able to do the same or have you been or are you pretty much contracted lock-in price for the year?
Luc Desjardins: Yes, on - we are very contracted for the full year, and very well good production is coming. On HCL, you are right. Some of it is contracted, but many of the volume we follow the market. So there will be potentially caustic price increase as anticipated and communicated in mid-year or three quarters of the year. So we are watching it carefully and we are not a base supplier so we don't that, but we are right there and we understand that there has been some announcement for down the road during the year. If that happens and I assure you that will follow.
Nelson Ng: But on the caustic side, hasn't there already been price increases like late last year and earlier this year?
Luc Desjardins: Small one in quarter 1. Very small and more anticipated from what we have heard from the market for the second half of 2017.
Nelson Ng: Okay, got it. And then just moving on, you mentioned, higher electricity prices in the Western Canada. Which quarter will that be implemented or has it already been taken place?
Luc Desjardins: It's already taken place and by the second half of the year - we have small capacity in the West, and we are not a big player. The Québec plant and Valdosta plant are big plants for us. And those cost increase are pretty close to zero, very low. I'm pleased with that. But when it comes to Western Canada, they always increase price more than inflation. And maybe I can add to that, I missed the Port Edward plant as well where price increase and the energy are very low. So we will get three of our big plants that are really very low cost increases. The small plant we have in Western Canada yes, we anticipate more than inflation price increase. Sorry, about that.
Nelson Ng: That's alright. And then just on Canwest, I'm not sure whether you can provide a bit more color on the approval process. I'm thinking like in the back-and-forth with regulators and have you submitted all the documents that the regulators asked for there like first information request?
Luc Desjardins: I have mentioned that Darren Hribar is here in the call today, so I'll ask him to answer that.
Darren Hribar: Sure. So in terms of the regulatory process, we completed the initial filings around the end of February, both parties. And then subsequent to that, we received as expected, a supplemental information or request. I think that was around the end of March, probably around March 29. So from there we continue to work cooperatively with the Bureau to respond to that significant document and data requests. So we are looking through that process now. Expect we are probably in a position to fully comply with that within the next six weeks or so.
Luc Desjardins: And just one more point here for everyone to understand on the phone. We are starting the planning of the synergy opportunity between the two enterprises, but it's at the planning stage. So we are not anticipating until we close, which we don't know the exact date. It's really competitive Bureau dates with whenever it comes. And we will look at synergies immediately after that. So we have not included any synergies on our 2017 guidance at this stage, because we don't know for sure the date we are going to close.
Nelson Ng: Okay. And then if I can squeeze one more question in. On the Pomerleau Propane acquisition, is the purchase price - like the acquisition amounts for pre and post synergies consistent with what you are previous guidance was I think. Generally are targeting for like six times pre-synergies and five times post synergies. Doesn't that sound about right?
Luc Desjardins: Yes, absolutely and from after synergy this one will be even better. So whatever we communicated, it's not a big one. So it's not a large one. So it's good size, but not all too large. Yes, there be more synergy than we have forecasted in the market up to now.
Nelson Ng: Okay. Thanks Luc. Those are my questions.
Luc Desjardins: Yes. Thank you.
Operator: Our next question comes from Damir Gunja with TD Securities. Your question please.
Damir Gunja: Thanks good morning. Just wondering if you can touch on the seasonality of Canwest or would it be similar to the profile of your Canadian propane business?
Beth Summers: Yes, this is Beth. It would be very similar in that if you want to think about the amount of earnings say that would occur in Q1, where probably you would be looking at on average somewhere at around 40%. So a lot of the earnings occur in the first quarter. So where we have reflected the $6.2 million in our earnings for March 1, for the remainder of the year, it's much less contribution on a net basis with the interest than you would see in the first quarter.
Damir Gunja: And I guess, Q4 would see a similar size pickup to Q1 or slightly less?
Beth Summers: Slightly less in Q4.
Damir Gunja: And are you able to talk about CapEx, that’s going to be expected for the business once you bring it under SPP the banner?
Luc Desjardins: Yes, I'll start and Beth can continue on the path. There is great opportunity for us as a corporation, normally for Canwest, but for us and Western Canada to have less capital investment. So I think they are quarter one and more of that to come after the acquisition, because you take lot of trucks and tanks and regional branch and you can reduce the CapEx tremendously for both enterprise and Western Canada after the acquisition.
Beth Summers: Yes, and I would say Damir, on a longer-term run rate, if you want to think about business, it would be a less than $5 million CapEx. Like we have initial benefits or synergies from a CapEx perspective, but longer-term under $5 million would be our expectation.
Damir Gunja: So to remain in that number, okay. Great and that's it for me. Maybe just on acquisitions Luc, you talked about tuck-ins. Are there anything or any opportunities out there of a medium or larger size that your contracting?
Luc Desjardins: Large-size, not at this stage. But some small and not so small. I don't know what you count it to be mid size. We have hired people at corporate as you know, and we have hired people in each division to really go out and cover the market and talk to every potential propane company in Canada, East more now, but also in the Northeast USA, even going South even more then Philadelphia. And what we are seeing now honestly is a lot more opportunities, we have communicated before at the Investor Day. I feel even stronger today, I would say two to four for a sure. So we will wait for the next Investor Day to say how much per year. But lots of opportunity and with everybody that we put in place that is coming to us these days.
Damir Gunja: Okay. Thank you.
Operator: Thank you. Our next question comes from Steven Hansen with Raymond James. Your question please.
Steven Hansen: Yes, good morning guys. Just a quick follow-up on the Specialty Chemicals side. I think you referred to distribution cost being down on the period and it did strike me that those are notable number. Is there something there on the netback side that's helping you are just what can we expect are going forward?
Luc Desjardins: Is your question on volume or on the margins?
Steven Hansen: More on the distribution cost from sales specifically.
Beth Summers: Yes, okay, I understand the question. Fundamentally linked to freight and part of that’s timing.
Steven Hansen: Okay. I tend to go back on that. And then just to follow-up again on the broader guidance for Specialty Chemicals. You had a pretty good first quarter, but you are providing at sort of being consistent with the year. Is it really the pressure is on the electricity side that we should expect to have some weight I guess, you described the chlorate side also having a little bit of weight in the back half. But I'm just trying to understand more precisely where some of that might be in the later part of the year?
Luc Desjardins: Yes, it's a good question. We are feeling somewhat more optimistic after quarter one. Question earlier about you would see either Chloralkali that we are not a leader in that. We are a small player of every specific regional player, as you know Port Edward [indiscernible]. We like the location where we are to follow the growth and volume, and then follow pricing as they come. So we have put and the forecast as best we know at this stage, but certainly feel optimistic. And if we feel that it's happening at a better rate, with next quarter we will adjust accordingly.
Beth Summers: Yes, I think one other point to just recall, if you are looking at it in comparison on a year-over-year basis, prior-year did include $4 million of foreign-exchange losses related to the translation of working capital. So that may help circle the square a little bit as well.
Steven Hansen: Fair point. Okay guys. Thanks very much.
Operator: Thank you. Our next question comes from Jacob Bout with CIBC. Your question please?
Jacob Bout: Good morning. I wanted to go back to the Specialty Chemicals. In the price increases that you have seen within the market, maybe talk a little bit about what you have seen as far as a the historic relationship between price increases in the U.S. Gulf and what you seen on the Chloralkali. I guess, specifically at reported - are these two different markets, is there a lag or?
Luc Desjardins: Yes, very good point. So in the Saskatoon as you all many of you will remember, we had a little plant that's very, very efficient. We had the salt in our basement. So we save money from any competitor and transportation since when the back charter of the Western market we saved another amount there. So we are kind of in a spot there when the market comes back, we are it and we are number on. No. Our volume is limited. So there is other liquid coming to that market, but we have a really strong competitive edge. Port Edward, large plant, well located in the market that we have seen in the last six months, U.S. is growing faster, quicker and Canada lagging from the U.S. growth in that.
Jacob Bout: That's helpful. So is it a kind of a one-for-one of the caustic side or is a lag you are seeing at Port Edwards?
Luc Desjardins: You mean, is the growth on caustic more than other...
Jacob Bout: So if you see a price increase announced by the Chloralkali producers in the U.S. Gulf, how quickly do you see that or do you hear in your Port Edwards.
Beth Summers: Yes, typically we will eventually make its way, but there is a lag somewhat you would see happening in the Gulf Coast until it makes its way into the Midwest.
Jacob Bout: Okay. Maybe just on the Canwest acquisition. Can you talk about, at this point do you think there is any divestitures expected? And then the $20 million in synergy, I think there is a three-year ramp to get to that number. Does that change at all in your mind?
Luc Desjardins: I will just talk about synergy, and then Darren will answer on the legal aspect of the deal. So on the synergy, they start the day and we will do all the planning ahead of time. We will know every buckets of opportunity and how to execute on those. So day one the competition Bureau approves the deal, we just marched on. And you can account for 24 months from that day that we will have executed. So when we say three years, the third year we have full synergy behind us. So it would take us 24 months. The reason why it takes a bit long is, you have the winter effects. So if the timing is in the middle of the winter, we won't do anything with our customers, because we are very customer centric, and that comes first. So we don't to lose business, we want to grow our internal growth. So customer comes first. So if we are in the position where winter has started and then we get the okay, we will probably don’t do anything for three, four months. Something winter is behind us, then we have a slower period, then we can go and execute. That is why the lag and the full 24 months to do their job. Darren.
Darren Hribar: Yes, sure. So in terms of the divestitures, we don't currently anticipate anything. I guess, our view would be the industry is very competitive. There is lots of entry of new competitors. And as Luc has referred to, there is significant combining the two businesses. All that being said, we are also at the stage where we haven't had any substantive discussions with the Bureau at this point. We are still gathering documents to respond to the SIR and we won't be in a position to have discussions with them until likely after that time.
Jacob Bout: Alright. Thank you very much.
Operator: Our next question comes from Joel Jackson with BMO Capital Markets. Your question please.
Joel Jackson: Good morning In propane, you have seeing the margins, they were really strong last year and they are pretty sticking in the retail side. If you could come back down a little bit now, what is sort of the trajectory for propane margins? Will they go back to sort of the range we saw a few years ago, will they be a little higher or top of the range, what should we expect?
Beth Summers: Yes, I think from that perspective, they are anticipated to be sort of consistent to modestly lower on the Canadian propane side. Basically in around the range where we have them now. And part of the reason when you are looking at it, you see those margins being lower. what its reflecting this year is the reduced opportunity that we are seeing in the East, West arbitrage, which we would have experience last year and we wouldn't expect to continue in 2017. So that's one of the factors impacting those numbers. So I think one way of looking at it sort of in the range in the quarter sort of in that consistent to modestly lower than that.
Luc Desjardins: Additional color, from a customer segmentation point of view, we see the margin remaining pretty much what they are. We are drawing the wholesale business. And as you know, wholesale business you make a penny or two. It's very small margin, but big volume. We take no risk. Growing that business changed the mix a little bit. And then what Beth has referred to East-West, that's been a little adjustment there too so. So base case or distribution of propane average, it's remaining very good and no change is expected.
Joel Jackson: Okay. I just follow-up on that with two things, so maybe you could just comment a little bit more on the East-West arbitrage, what it was and now what it is? And then also on the tuck-ins, with the one you got in Québec recently and going forward. What are sort of evaluations that we are seeing on the tuck-in? Thanks.
Beth Summers: Okay. I'll cover off the first part of the question, which was around when I mentioned East-West arbitrage. This is when we talk about the differentials in the market. And so basis differentials and those instances where the prices differ between the East and West, where it makes sense for us to basically transport the propane as opposed to buying it from the different areas. So the reality is it’s something that we always do. Last year, this led to some higher profit in our Superior Gas Liquids business than you would typically see and that's where we had some volatility in that business. So what has happened is, the differential between the pricing in the East and the West has become narrower. So the opportunity for basically getting more margin associated with those volumes has just decreased from what we saw previously. It's directly from our Superior Gas Liquids business. And where we try to maximize our margins, looking at the market as a whole and what makes the most sense for transporting propane.
Luc Desjardins: From a multiple in Canada, we are looking at somewhere around six to seven time. And we are looking at one and 1.5 times to be realistic on synergies. So you probably end up around five net. You might see more and more synergy. You might six times and your long-term synergy. So net after synergy we think of five in Canada is probably logic. In the states it would be different. The multiple would be a little bit higher depending on size of enterprise and you would be seven, eight more in the state versus Canada. Then the synergy depends if we are acquiring platform in the North East where we are at, we will get the same synergies. One time, if we acquire business, which we will probably do down the road and to further South, it's a great markets than there is less synergies.
Joel Jackson: Thank you.
Operator: Our next question comes from Raveel Afzaal from Canaccord Genuity.
Raveel Afzaal: Yes, thank you very for hosting the call. My question related to Canwest, just give as much as color as you can. When you look at job culture and the compensation structure that you have for your relationship managers versus that are Canwest, do you find them to be fairly simple similar? And also, what sort of initiative are you working on right now to make sure that you can retain these key people at Canwest?
Luc Desjardins: Yes, no, this is all part of the integration plan. So we are professional at integrating, executing our business. I have done my share of 30-or-so-plus integration in my career. And we have got lot of professional internally. So we have a process how to go about looking at every area of the business we acquire, system, the people, the branch, region, head office. So when we do that, which is the planning work that we are doing now until we acquired and they were approved. So we are into a position now where we are at the planning stage. When we see good talent, we obviously want to keep the best talent. And then from a system, we are both having the same system. So that works very well. And the compensation level, they are not that different from us overall. we have put in place maybe there is more of your question, we put in place a retention program for management and employees of all level of Canwest. So they are into what is going to happen. They have to run the business until for us, because we own did. But until Competition Bureau tell us we are on green light, then we go after execution of the plan. And we know that on our side employees and their employees, there are always people questioning what does it mean. So we put in place a very good program and a communication plan to make sure that everybody at Canwest understand. We will treat everybody extremely well. Yes, we are going to save $20-plus million. And yes, we will treat everybody extremely well. And those program have been put in place to do it respectfully and properly.
Raveel Afzaal: That answers my question, thank you for that. Just one more question on the wholesale competitive nature on the Northeast side. What is the strategy over there to deal with this increased competition?
Luc Desjardins: In the wholesale?
Raveel Afzaal: Yes, in the USRF division?
Beth Summers: Yes, I think from that perspective you are absolutely right that we found that business continues to get increasingly competitive. From that perspective, I think the reality is form business we are looking at it from sales perspective and identifying strategies, and basically taking our resources and putting them to where we feel that we can make good margin. I think the reality is, where you start seeing some of those volumes declining, it's because we aren't going to chase business for volume. If the margins are there, we will have sales. If the margins aren't there, then we won't. I mean and I don't want to leave it with impact that it would never look different than it looks now. The reality is, it is very volatile and it will change from quarter-to-quarter. So it could be short-term, but over the last period of time, we have seen that increasing competition and has decreased both our volumes and our margins.
Luc Desjardins: Not a lot of EBITDA in that particular segment, but big volumes. So I understand your question. We certainly are going to work extremely hard to change the mix of our U.S. business. And you will see us in a year or two to be very much more propane-driven than wholesale oil-driven. So we are not going to chase business, we are going to make a margin when we sell. And we are going to push all the growth and opportunity into propane.
Raveel Afzaal: Got it. Thank you for your time.
Operator: Our next question comes from Patrick Kenny with National Bank. Your question please.
Patrick Kenny: Good morning Luc, good morning Beth. Just wanted to get your thoughts, as it relates to your chlorate business. And how you are thinking about the potential impact on your Canadian customers, given that a lot of them have integrated softwood pulp and lumber operations? And of course, now they are facing U.S. tariffs and that poses a risk to their production levels?
Luc Desjardins: Yes, we have looked at that for the last six months as we expected it. And it has really no effect for us. The type of that chlorate that we make and the products that our customer use chlorate for, we don't see that affecting us at all. Your question gives me the opportunity to say, or many of you remember, try not to have more volume so that certainly will reduce. But today we are sold out for the year and very solid business. And expect to start to work with customers for 2018, 2019 booking. And we feel we are in a great position, especially with Eastern plant, Buckingham and Valdosta which is in the Southeast, right in the backyard of almost half of the market in Southeast from the chlorate business. So we feel we are in a great position with two plants of our of low cost from an energy point of view. And we wish that the Western little plant would not have that kind of increase more than inflation, but we don't have much control over that.
Patrick Kenny: And if I recall, you were 95% percent sold out coming up into this year. Can you remind us what percentage of your chlorate sales of the contract renewal from this call?
Luc Desjardins: For the last quarter this year for 2018 and 2019, about 40% of our total volume.
Patrick Kenny: It’s coming up for renewal?
Luc Desjardins: Coming up for renewal, yes.
Patrick Kenny: Got it. Okay. And if I can just maybe switch over to propane, just back to the reduced arbitrage opportunities east, west, and I assume same for north, south. So if we are in a lower point in the cycle with tighter differentials, just curious to hear you thoughts if that has increased the number of acquisition opportunities for you in the U.S. multiples aside, just a quantity of companies out there that might look to exit the market at this point?
Luc Desjardins: Not for that particular reason, but I think the fact that we all getting older year-over-year. It seems to me from our research and our people we hired and touch point and call we have made to just about every propane company in our backyard. U.S. and Canada, we are finding that - and also I think being the Superior in the last five years become a real player in this space in Canada. We talk with customer service and internal growth. We now have a recognition that we are good company. If you ask our competitors six years ago, it would be not good feedback. And by having a good brand and developing their business properly and having done a few acquisition at [indiscernible] Ontario coming in now in Quebec, we certainly are getting a lot more opportunities than we anticipated a year ago. And I think there will be more and not for the reason you mentioned.
Patrick Kenny: Okay, great. Thanks for the update guys.
Operator: Thank you. [Operator Instructions]. Our next question comes from Steven Hansen with Raymond James. Your question please?
Steven Hansen: Yes, hi guys. Just one quick follow up on the timing issue, if I understand you plan to submit your sure package in about 6 weeks that would put sort of mid-June time frame. Can you remind us the process thereafter the 30 day waiting period before you would expect from sort of initial response, and what are sort of the different avenues you take from there?
Darren Hribar: Yes, you are exactly right. Once we have substantially complied with it, it starts the 30 day waiting period before we can close a transaction. Typically, what you have seen is, that 30 day time period can be extended by the parties just based on the review from the Bureau and the things that they identify that they want to discuss. So it can vary quite a bit from there, but you are exactly right. As soon as we comply, we have got a 30 day waiting period before we can close the transaction.
Steven Hansen: Okay. Great. So I guess mid-to late July is the earliest and depending on who they respond, could be sometime thereafter.
Darren Hribar: Yes. Not atypical for them to ask for additional time given the volume of the material that we will be providing them. So in prior transactions, we certainly saw that. And we wouldn't be surprised if we see something like that again.
Steven Hansen: Sure. And then just one follow-up and just a marketing question you typically rolling your targets your acquired in companies under the brand, the Canwest for those is a larger one. Is that also rolled in under a single banner going forward?
Luc Desjardins: In our planning stage, we haven't discussed that. But you should think of large industrial company, which is good share of their market. We don't take those customers are really too concerned with their brand, and more concerned with additional service and supply and good quality supplier, which in tough time when there is a shortage, there will be supply. So for this market of Canwest brand is not as selling to a residential customer. But we are always going to be extremely careful. We have got lot of work to do to know what is the best brand that's going to make sure we don't lose business and make sure that we don't have customers that are in and agrees own thinking that things are going to change for them. So we are going to it diligently and we will be very careful before we change our brand of any company we acquire. When it's a company that's really more skewed into residential, we don't intend to change the brand unless we take many years to get there, and we feel comfortable, no loss of customers. That's more important.
Steven Hansen: Understood. Okay, that’s it from me. Thanks Luc.
Operator: Thank you. I'm not showing any further questions in queue. I would now like to turn the call back over to Mr. Desjardins for closing remarks.
Luc Desjardins: I would like to thank you all for participating in Superior 2017 first quarter results. I'll probably conclude the same way I concluded yesterday on our AGM. We have had a Destination 2015 a good run, when you look at [TSX] (Ph) and look at the stock, we have done better and by a good margin. So for us, when I look ahead and I look at what we have came from, and I look at the future. I think the next wave of Evolution 2020 and we have hired talented people to execute on their strategy. To me it looks easier, better than what we have done in the past. So the management team here, were bullish and confident that what we have done in the past will do that and better in the future. And we certainly intend to put all our efforts into that. So it's actually more fun to grow as well to fix so. We are looking towards a great execution of 2020 project. With that, thank you everyone for your participation.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference. Thank you very much for your participation and have a wonderful day.